Operator: Thank you for standing by. This is the conference operator. Welcome to Vext Sciences Third Quarter 2025 Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Priam Shahrabordi. Please go ahead.
Unknown Executive: Thanks, operator. Good morning, everyone, and thank you for joining us today. Vext Third Quarter 2025 financial results were released earlier this morning. The press release, financial statements and MD&A are available on Plus as well as on the Vext website at vextscience.com. We would like to remind listeners that portions of today's discussion includes forward-looking statements and that forward-looking statements are included in today's filings. There can be no assurance that these forward-looking statements will prove to be accurate or that management's expectations or estimates of future developments, circumstances or results contained therein will materialize. Risks and uncertainties that could affect future developments, circumstances or results are detailed in the MD&A and Vext's other public filings that are made available on SEDAR and we encourage listeners to read those risk factors in conjunction with today's call. As a result of these risks and uncertainties, the developments, circumstances or results predicted in forward-looking statements may differ materially from actual developments, circumstances or results. This call also includes non-IFRS financial information, and such non-IFRS financial measures are subject to the disclosure and reconciliation included in our press release disseminated earlier today as well as the MD&A. Forward-looking statements made during this conference call are made as of the date of this call. Vext disclaims any intention or obligation to update or revise such information, except as required by applicable law. Next financial statements are presented in U.S. dollars and the results discussed during this call are in U.S. dollars. I will now pass the call over to Eric Offenberger, Chief Executive Officer of Vext.
Eric Offenberger: Thanks, Priam. Good morning, everybody, and thank you for joining our third quarter 2025 financial results conference call. I am joined today by Trevor Smith, Vext's CFO. Q3 was a solid quarter for Vext. Our results reflect a mix of continued progress in Ohio and consistent execution in Arizona. Revenue was $12.7 million, up 41% year-over-year. driven by the full quarter contribution from our Athens and Jeffersonville dispensaries in Ohio and continued resilience in Arizona. We once again generated positive operating cash flow, something we've done for the fourth consecutive quarter now and continue to strengthen the foundation of our business. Across our 2 operating states, we're seeing very different market dynamics, and our model is proving resilient in both. Ohio continues to gain momentum as adult-use sales expand and our retail footprint grows. We're positioning the business to capture more of the demand through continued retail expansion and improved cultivation output. Arizona on the other hand, remains mature and competitive market that's working through excess supply and lower pricing. Our team continues to do a great job managing through it consistently outperforming state averages, generating positive adjusted EBITDA and protecting margins through a focus on efficiency and customer loyalty. Turning first to Ohio. Ohio continues to stand out as a growth engine for Vext. Revenue in the state was steady this quarter with retail growth from the ramp-up of our third and fourth dispensaries in Athens in Jeffersonville, offsetting intentionally lower third-party wholesale activity, consistent with our shift toward a more retail-focused model. Our 4 operating dispensaries continue to perform well, supported by steady customer traffic, strong customer retention and ramping up store level execution. The addition of drive-thrus to select dispensaries has also been a clear success, driving convenience, higher visit frequency and reinforcing the strength of our retail-centered vertical platform approach. We're adding drive-throughs across our retail platform wherever permitting allows and results have been consistently positive. During the quarter, we increased flower inventory in Ohio in anticipation of our next phase of retail growth. While the tagging of our well-positioned Fairfield store opening has shifted into early 2026 due to permitting related delays, we're excited to bring our 3 remaining locations online through 2026 and expect them to meaningfully contribute to our results. Trevor will speak to the financial impact in more detail but at a high level, we expect to monetize our excess inventory through the wholesale channel throughout the remainder of the year, enhancing cash generation. With Portsmith consolidated as of October 1, and cultivation yields improving meaningfully, we expect to see strong revenue growth in quarter 4 as throughput increases in more of our retail network contributes for a full quarter. Beyond that, we're focused on completing construction of our 3 remaining locations to reach state license cap of 8 dispensaries during 2026. While initial opening time lines targeted early 2026, store launches will ultimately align with the pace of permitting and regulatory approvals. As these milestones are achieved, we expect our larger footprint to meaningfully expand our reach, positioning Vext for continued growth in one of the country's most promising adult east markets. Turning to Arizona. Our operations continue to perform well with our sales exceeding state averages on a per store basis and demonstrating the strength of our retail execution and local customer base. The broader market, however, remains soft with statewide sales down about 12% sequentially and 6% year-over-year due to pricing pressure and typical summer seasonality. Our focus remains on efficiency and margin protection in what continues to be a competitive environment, selling our own brands through our retail network, maintaining tight operational controls and strong yields from our Eloy cultivation facility, which continues to exceed market averages have helped us maintain positive adjusted EBITDA despite multiyear revenue declines across the state. We believe our above-average execution in Arizona is a clear indicator of our ability to not only sustain performance but win in markets as they mature and grow increasingly competitive. Against this backdrop, we're entering year-end with momentum and a stronger foundation to build on. In Ohio, we're continuing to see strong high-margin growth as the adult use market expands, while in Arizona, our team is proving we can stay profitable and efficient in a competitive environment. That balance between growth and stability supported by our capital-light model and focus on vertically integrated disciplined operations has enabled us to deliver solid cash flow margins through the year. With much of the heavy lifting on acquisitions and build-outs now behind us, our focus is on converting more of that growth into free cash flow, strengthening our balance sheet in delivering steady long-term value for our shareholders. Before handing the call over to Trevor, I want to thank our team for their continued hard work and focus, even in a tougher quarter with increased seasonality in Arizona we delivered positive cash flow, kept expenses in line and stayed on track with our growth plan in Ohio. With that, over to Trevor for a review of the financials. Trevor?
Trevor Smith: Thanks very much, Eric. The third quarter reflected continued execution in a mixed market environment. Revenue was $12.7 million compared with $13.4 million in the second quarter of 2025 and $8.9 million in the third quarter of 2024. On a year-to-date basis, revenue reached $37.6 million, up 46% from 2024, driven primarily by the expansion of our Ohio retail operations and steady performance in Arizona. Behind these top line results, we're seeing solid operational momentum, especially in cultivation. As noted last quarter, one of the areas we've been focused on is better aligning our cultivation footprint with retail demand to support margins across the business. Those efforts are showing real progress. Over the past 2 years, our weighted average yields have steadily improved, up about 10% in the third quarter of 2024 compared to the prior year and a further up 15% in the third quarter of this year. More recently, 2 pilot programs we initiated at incremental capital-light cultivation capacity, delivered test yields nearly 50% above our current averages. These early results highlight a meaningful opportunity to improve throughput and cost efficiency as the programs scale, and we look forward to keeping you updated. As Eric outlined, it's worth noting that we intentionally built additional flower inventory in Ohio during the quarter in anticipation of the Fairfield store launch and had more sellable grams on hand at the end of Q3 versus Q2. With that opening delayed slightly into 2026, there was a short-term impact on working capital and operational cash flow in the quarter. However, we remain well positioned to capture additional revenue and cash conversion over the next few months. Inventory stood at $8.3 million, a sequential decline. The decrease in inventory valuation despite the just mentioned increase in sellable grams, reflects the realignment of our inventory with current market conditions and production efficiencies. Under IFRS accounting, this adjustment temporarily increased cost of goods sold in the quarter, and we expect margins to normalize as that inventory sells through in Q4. Adjusted EBITDA came in at $2.1 million, representing a 16.7% margin. The decline in adjusted EBITDA compared to prior quarters was driven primarily by lower wholesale flower prices in Arizona, which compressed margins and reduced the IFRS fair value of biological assets. It is important to note that these impacts are noncash working capital adjustments tied to market pricing rather than operations. When adjusted for these temporary factors that are required under IFRS, our core profitability remained consistent with our run rate earlier this year. Operating cash flow for Q3 was $1.26 million, or a 9.9% cash flow margin. The wholesale pricing movement I just mentioned, created a working capital impact that drove much of the sequential decline in operating cash flow despite stable underlying demand. Adjusting for the temporary working capital items, including the Ohio inventory build combined with progress we made against legacy income tax payments, our operating cash flow would have been in line with our performance over the first half of the year which speaks to the strength of our core operations. Operating expenses were down year-over-year and down as a percentage of revenue, reflecting continued cost discipline even as we expanded our retail footprint. We're seeing operating leverage begin to show through and expect that to continue as new stores are consolidated. On the balance sheet, we ended the quarter with $3.7 million in cash. Looking ahead, the pieces are in place for a stronger finish to the year. With Portsmouth now consolidated, cultivation yields improving and a solid foundation in both states, we expect revenue, adjusted EBITDA and cash flow to step up meaningfully in the fourth quarter. Our focus remains on generating cash, maintaining cost discipline and funding our Ohio expansion through steady, internally driven growth. Supported by growing momentum in Ohio, steady operational improvements in Arizona and a disciplined capital-light strategy, we expect to deliver consistent financial performance through year-end and build on that strength heading into 2026. Thank you, everyone, for joining us for our third quarter 2025 financial results conference call. I'll now turn it over to the operator for your questions.
Operator: [Operator Instructions] The first question comes from Paul Penney with Partner Capital Group.
Paul Penny: Solid quarter. A couple of questions on Arizona, any positive impacts from the enforcement on hemp-related products? And secondly, can you give us a better feel for the seasonality on traffic trends and average spend in the summer when the weather is in the triple digits? And then thirdly, do you think the wholesale market has bottomed in Arizona? Just give us a feel for wholesale prices. And if you think they've bottomed out.
Eric Offenberger: Thanks, Paul. As far as we can tell, the seasonal traffic was about the same patterns as last year. We didn't really see like an impact of customer base that was that significant compared to the pricing compression and what happened that way. So I think really most of the issues are still price driven. That said, you also have more stores this year than last year, but not significantly. But you did have some of that and people moving stores and doing some of those things that came online in the third quarter with the heat in Arizona. As far as wholesale prices, my gut feeling tells me no, it's not bottomed out yet. Does it fall as fast as it has been? I don't think so. I think some people are producing at below cash numbers to generate cash. It's a question of how deep their pockets are and how long they want to sustain that. And I think that really has created a problem. Just strictly pure economics oversupply. So that's kind of our take on the whole thing.
Paul Penny: Great. And switching over to Ohio. Where are you seeing the most upside in terms of your expectations on the traffic side or the average price in basket size? And what's the best case and worst case in terms of opening all 8 stores into 2026? And then lastly, how many of the do you think can have drive-throughs?
Eric Offenberger: So when we get all done, I'll start with the last part. The 7 out of the 8 can have drive-throughs, and we think we'll be there by the end of the year with them as they come online. Anything new is being built with a drive-through. There's 2 that have to be retrofitted and those are based upon state approvals and zoning. So that's it. As far as opening by the end of '28, it really gets down to is how do you do on permitting? Where are you at with zoning, that type of stuff. Fortunately, Scott, our in-house counsel is very good at real estate transactions and knows the space very well within Ohio and does a good job getting them up and going for us. So that's been a real positive. Ohio, what we see as traffic patterns are still pretty good in Ohio. Again, they're bringing on new stores and they're seeing some competition. I think what's really happening from our store standpoint is with our vertical model, we're maintaining market share, but you're doing that at a price, right? So the consumer is obviously getting a cheaper market, cheaper price than they have been getting but with the cultivation capped in Ohio, I think that's been a positive. I think some of the brands that were primarily wholesaling are bringing some of their own retail online. And lo and behold, they're starting to sell their brands through their own stores like everywhere else does in order to maintain their margins and keep their margins solid. So with Vext, we have good in-house brands, good product development. We've always worked on it. And we always talked that we're not a brand company, and we're really truly not. But we market our own brands and our own quality and ensure that into the store to help maintain the margin. So we just don't see it as being a big wholesale play for us as much as to control your costs like a private label. So the quality is there and the consistency, and getting the customer pattern and then peppering it in with other products that we have with people we work with.
Paul Penny: Great. And Trevor, one quick one for you. Do you view the operating cash flow margin as bottoming this quarter in terms of when you look out the remainder of the quarters in the year?
Trevor Smith: Yes, absolutely. Primarily a function of that markdown in average selling price per gram. So that had a ripple effect through all the IFRS valuations on inventory. And then we got caught up a bit on the legacy income tax payments. Of the almost $900,000, 2/3 of it related to the 2017 and 2018 audits that have already been completed.
Operator: The next question comes from Andrew Semple with Ventum Financial.
Andrew Semple: Yes, I just want to go back to the margins. Obviously, we're seeing quite a bit of volatility in that over the past few quarters and even in the past few years. I don't know if this is a question for Trevor, Eric, but where would you expect the margins to stabilize? I know you indicated the first half of this year, but even then margins were slowing around a fair bit quarter-on-quarter. So maybe if you had any color commentary on where you would expect the margins to stabilize once all the stores are open, your vertically integrated model humming in Ohio, that would be helpful.
Trevor Smith: Sure. Yes, I still think it's probably going to revert back closer to the first half of the year. You have some price compression that we don't necessarily see recovery overnight on. But at the same time, we do expect meaningful improvements in yield, which will help on the cost structure side. So it's noisy and it has a lot to do with when we plant, how we plant, what day the end of the quarter ends on, the changes in valuation. And I think we're still one of the few companies under IFRS, so we get a lot of noise on the biological assets. But yes, I would expect margins, like I said, revert closer to the first half of the year, again, mostly due to cost efficiencies.
Andrew Semple: Got it. Okay. And then on the cultivation yield we've been hearing yield improvements are kind of across the street from other operators, too. Though the quantum, I guess, Vext is looking at there with kind of the 10% and 15% and testing at 50%, that seems to be a bit larger than some of the peers are doing. So where do you think you stack up relative to the peers? Is this you guys catching up, keeping pace? Or do you think you're leapfrogging some folks? Some context on kind of where you think you are on the yield side would be helpful.
Trevor Smith: Sure. I think historically, the company may have been a bit of a laggard, but over the last couple of years, we've caught pace. And I think if the pilot program widely adopts the way the 2 trial test runs have, we expect to leapfrog a fair amount of the pack.
Andrew Semple: Got it. And then finally, maybe just in terms of 2026, obviously, opening or looking to open 3 additional Ohio stores. What else would be in your CapEx budget for next year? What kind of projects are you looking at?
Eric Offenberger: I think at this point in time, Andrew, what we're doing is staying focused on opening the 8 stores and generating cash and improving the balance sheet, and looking for opportunities that make sense from a accretive standpoint, and maximizing the shareholder value. So we don't have anything that are jumping out at us or anything that we're not looking at as a general rule. That said, you follow the space as well as anybody, and we've always thought you do a great job with it. So you know what's happening with AYR, PharmaCann, the 4Fronts and stuff along those lines. We're trying to see kind of how those assets get released into the market and what happens with them, and we think there's going to be some other ones. So we think there's going to be some good opportunities and be prepared.
Operator: [Operator Instructions] The next question comes from Josh Felker with CB1 Capital.
Josh Felker: Eric, Trevor, congrats on the quarter. I've got a 3-parter and then a single question. That's okay. on Ohio, I'm just expecting -- I'm just wondering how you expect your wholesale business to trend as you continue to turn your stores online? Second part, how much of your current internal capacity do you think your 8 stores are utilized? And then I guess, going forward after that, what are your expectations for the Ohio wholesale business after those stores are online?
Eric Offenberger: Josh, I'll get part of that, and then we'll let Trevor with the specifics because, obviously, he's -- that's his daily work. So from a wholesale strategy, it's not going to be any different. We're going to continue to support our stores and run the brands. We typically try to do at least 70% internal, 30% on the other ones, as the stores come online and open and the efficiency from the cultivation, that really will support where the mix ends up. And I think that's really been a good indication. So today, that strategy is working well, and we'll continue with that strategy until we see a condition change in the market. I'll let Trevor address kind of the specifics within that answer.
Trevor Smith: Sure. cultivation yields taking a step forward and the delay of the Fairfield opening, we're sitting on a fair amount of inventory in Ohio more than we normally would in terms of sellable grams. So I would expect that to get sold through in the fourth quarter, retail promotion as well as wholesale sales. So year-over-year, we're already up about 50% from last year. I'd probably expect that to continue a little bit just because of the prior mentioned major leap forward and cultivation yields that we're expecting and when those will come in the first harvest relative to when the new stores will open and ramp. So we're always constantly managing that supply-demand curve. So I would expect wholesale to be elevated for probably next several quarters. And then as Eric mentioned, our long-term strategy is always to pair retail distribution with our wholesale or with our cultivation production. So we're not relying on the swings in the wholesale market. So long term, our facility is going to be designed to service all of those 8 at those 70% internal measures that Eric was mentioning. And I think we'll kind of see how the Ohio market develops in the coming quarters if we're going to make any decisions beyond that.
Josh Felker: Super. Appreciate the detail there. And on the accounts receivable line, that's an issue that operators have been noting for upwards of a year now. I'm just wondering, are you seeing any of the accounts receivable issues that some of your peers are mentioning?
Trevor Smith: No, thankfully, the team is doing a really good job on that front. As I mentioned, wholesale is up about 50% year-to-date. AR is only up about 35%, and our current status for AR as we disclosed in our MD&A is still at 90%. So we feel pretty good about our relationships with our customers. I appreciate their business. I think there's ample opportunity. We've carved out some shelf space there. but it is something that we are cognizant of has been kind of an industry-wide concern.
Josh Felker: Forgive me if I try to sneak in a third question. I'm going to count my first one as one question. For the remaining 3 stores left open in Ohio, I know you've mentioned in the past maybe above average expectations versus the state. I'm just wondering, does those expectations still hold given what you've seen in the market?
Eric Offenberger: Yes. We're still very optimistic about where we're at, the strategy, the traffic patterns, where we're trying to put these stores and how they've been embraced. As we've talked about before the 6 store is something we're really excited to see open. We really are happy with the landlord and the location. So we're really happy to see that. And we think Store 7 will be in the Columbus market. And hopefully, we'll get the permitting and can get the provisional done with the state here pretty quickly and get that up and going. Store 8, another -- it will be in the Cincinnati area and we're happy with where that store is going to be located, too. So yes, we're really -- yes, I can't -- Josh, I can't tell you how excited I am with what Scott has been able to accomplish in Ohio on the real estate front. It's just been phenomenal. Everything, the expectations of when we brought him on and my past work with him, he's lived up to it and so is the team in Ohio. So I could not be happier with everybody's performance.
Operator: This concludes the question-and-answer session and today's conference call. You may disconnect your lines, and thank you for participating, and have a pleasant day.